Operator: Greetings and welcome to Abacus Life First Quarter 2024 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Garrett Edson, Managing Director at ICR. Thank you. You may begin.
Garrett Edson: Good day, ladies and gentlemen. Thank you for standing by. Abacus Life first participants on this call to the Investor webpage www.abacuslife.com/investors for the press release, the investor information and filings with the SEC for a discussion of the risks that can affect the business. Abacus Life specifically refers participants to the presentation furnished today on Form 8-K with Securities Exchange Commission, and to remind listeners that some of the comments today may contain forward-looking statements, and as such will be subject to risks and uncertainties which if they materialize, can materially affect results. Reference is made to the section titled forward-looking statements in the company's earnings press release for the first quarter of 2024 which is incorporated herein by reference. We note, forward-looking statements, whether written or oral include, but are not limited to Abacus Life's expectation or prediction of financial and business performance and conditions, as well as its competitive and industry outlook. Forward-looking statements are subject to risks, uncertainties and assumptions, including the risk factors set forth in item 1A of our most recent 10-K, which if they materialize, could materially affect results and such forward-looking statements do not guarantee performance and Abacus Life gives no such assurances. Abacus Life is under no obligation and expressly disclaims any obligation to update, alter or otherwise revise any forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by law. In addition, historical data pertaining to the operating results and other performance indicators applicable to Abacus Life are not necessarily indicative of results to be achieved in succeeding periods. I will now turn the call over to Jay Jackson, Chief Executive Officer of Abacus Life.
Jay Jackson: Thank you to everyone listening today for your interest in Abacus, and welcome to our 2024 first quarter earnings call. With me today is our Chief Financial Officer, Bill McCauley, and after our remarks, we'll open it up to your questions. We kept the momentum rolling in the first quarter of 2024 delivering another strong quarter of positive results and profitable growth, while further strengthening our balance sheet. Our relentless execution continues to validate our differentiated business model as a leading market maker and alternative asset manager. For the first quarter of 2024 more than doubling total revenues year-over-year to $21.5 million, and delivered another quarter of strong earnings, growing adjusted EBITA by 38% to $11.6 million, and generating adjusted net income of $6.7 million. Bill will be along shortly to discuss more of our first quarter financial performance in further detail. On prior calls, we’ve highlighted our more enhanced sales and marketing spent, as we saw clear opportunities to expand our share of the market and noted that we would begin to see the results approximately one quarter later; that's exactly what happened in the first quarter as our investments in marketing helped derive a 59% year-over-year increase in direct-to-consumer originations. As part of our strategy, we intend to continue investing thoughtfully in our marketing, which we believe is an excellent use of capital to drive our growth over the long-term. We are also particularly pleased with our adjusted EBITDA performance, which was driven by higher originations along with an increase in our carrier buyback program. As we've noted on prior calls, our continued growth in both, revenue and adjusted EBITDA, is a testament to the partnerships we've cultivated with our carriers and reinsurers over the years. Also in the quarter, we successfully raised an additional $25 million of capital via our 9.875% notes and repurchased over $11 million of our shares since the stock repurchase program’s inception in December of 2023. Since the end of the first quarter, we also significantly strengthened our senior management team with two key additions. First, we are thrilled to bring on board, Elena Plesco, as our new Chief Capital Officer. Elena brings to Abacus a wealth of investment experience, and joins us after serving as the Co-Head of Specialty Finance at KKR, where she invested throughout multiple asset classes. At Abacus, she will oversee our capital management initiatives, further optimize our financial structure, and help facilitate our national and ultimately international expansion. We've known Elena for years and she is a perfect complementary fit for Abacus as we progress in enhancing our Investment Management Services. Welcome, Elena. And a few weeks ago, we are excited to add Fei Xue, as Vice President of ABL Wealth. Fei comes to us from Dynasty Financial Partners, where she served as a Strategic Advisor to some of the largest and most successful registered investment advisors in the country, particularly with respect to alternative assets. With nearly two decades of experience in asset and wealth management, she is the ideal person to oversee the ongoing buildout at ABL Wealth, and to bring our unique customized offerings including lifespan-based financial solutions to our clients in the broader RAA community. Fei has already hit the ground running, and we couldn't be happier to have her on board. We also continue to make strides in enhancing ABL Tech in recent months, as the use of our proprietary technology in wealth of longevity data to create bespoke solutions for the pension fund and financial services industries is finding an audience. We continue to expect to see top line contributions from both, ABL Wealth and ABL Tech later this year. Before turning the call over to Bill, I wanted to highlight our upcoming Investor Day and Longevity summit taking place on June 13. The summit is a 1-day event focused on how lifespan data can be applied to financial products. And we will also take investors on a deeper dive into our business model, our products, and the exciting future of Abacus. We are thrilled to have gathered some of the top professionals in the field of longevity and lifespan, and they will be at the summit to share their outlook on lifespan, and how it will impact the future of financial planning. Our panelists include Dr. Peter Attia, Author of the Number one New York Best Time Seller, Outlive: The Science and Art of Longevity; Tina Eliassi-Rad, a Professor at Northeastern University, and an expert in lifespan-based data science and AI; Dr.Joseph Coughlin, he is the Head of the MIT AgeLab; Steve Grasso, CNBC Market Analyst; James Morrow, the CEO of Callodine Capital; and Shirl Penney, President and CEO of Dynasty Financial Partners. If you are interested in attending or joining the livestream, please email our Investor Relations Department at investors@abacuslife.com to receive an invitation. To sum up, we remain confident in our business, the opportunities within our $230 billion plus total addressable core market, and in the incredible stability of our asset class. We are continuing to educate policyholders about the value of their policies through our network of over 30,000 financial professionals, and through television and digital campaigns for our growing direct-to-consumer channel. Meanwhile, our expanded verticals in deep data and technology advantages are helping us grow our vertically integrated alternative asset manager with multiple revenue and profit streams. With our proven business model, first class expert team and our trove [ph] of proprietary data and technology, we remain well positioned for sustainable and profitable growth, and ultimately create long-term value for our shareholders. With that, I will now hand it over to our CFO, Bill McCauley, to discuss the specifics on our Q1 results and financials.
Bill McCauley: Thanks, Jay and hello, everyone. As Jay mentioned, we delivered another strong quarter of top line growth and profitability across our business. The key driver of our business performance continues to be our highly efficient origination platform. In the first quarter of 2024, origination capital deployed was $33.3 million compared to $34.4 million in the prior year period, while we grew policy origination 6% to $119 million [ph] compared to $112 million [ph] in the prior year period. Total revenue in the first quarter of 2024 more than doubled to $21.5 million compared to $10.3 million in the prior year period. The increase was primarily due to strong performance across all segments. As of March 31, 2024, Abacus held 322 policies of which 314 are accounted for under the fair value method, and 8 are accounted for using the investment method, which is cost plus premiums paid. As a reminder, for all policies purchased after June 30, 2023, the company has elected to account for those under the fair value method going forward. For policies purchased before June 30, 2023, the company elected to use either the fair value method or the investment method. Revenue from our portfolio servicing segment in the first quarter of 2024 was $0.2 million compared $0.3 million in the prior year period. Turning to expenses; total operating expenses excluding unrealized gains and losses and the change in fair value of debt for the first quarter of 2024 were approximately $15 million compared to $1.4 million in the prior year period. We would note that first quarter 2024 total operating expenses included $5.8 million of non-cash stock compensation expense, and $800,000 of public company related expenses, both of which did not occur in the prior year period. We also increased sales and marketing expense by approximately $1.2 million compared to the prior year period, which assisted in accelerating our growth profile. The company typically realizes the benefit of marketing spend within 90 to 120 days. Consistent with our last few quarters, total operating expenses in the second quarter of 2024 will be elevated from the prior year period by non-cash equity compensation expenses, as well as ongoing public company expenses that did not occur in the second quarter of 2023. We will begin to anniversary non-cash equity compensation and public company expenses in the third quarter of 2024. Adjusted EBITA for the quarter grew 38% to $11.6 million compared to $8.4 million in the prior year period. Adjusted EBITDA margin was 54% for the quarter compared to 81% in the prior year period. GAAP net loss attributable to stockholders for the quarter was $1.3 million, compared to GAAP net income attributable to stockholders of $8.1 million in the prior year period. On an adjusted basis, excluding non-cash stock compensation, the amortization and change in fair value of warrant liability, net income for the first quarter of 2024 was $6.7 million compared to $7.6 million in the prior year period. Now turning to our balance sheet metrics. On an annualized basis, adjusted return on equity and adjusted return on invested capital for the 3-month period ended March 31, 2024 were 16% and 15%, respectively, reflecting our highly profitable business model. As of March 31, 2024, the company had cash and cash equivalents of $65.4 million, balance sheet policy assets of $126.9 million, and outstanding long-term debt at fair value of $131.4 million. During the first quarter, we were pleased to successfully raise an additional $25 million through our 9.875% fixed rate senior notes, while also repurchasing shares through our buyback program. As of May 6, 2024 we had repurchased approximately 966,000 shares at an average share price of $11.41. There is $4 million of availability remaining under the program. In summary, we are pleased with our strong results delivering a quarter of triple digit growth on our top line, as well as solid profitability on an adjusted basis. We remain very excited about the growth opportunities ahead, and are well positioned to execute on our long-term plans. I will now turn it back to our CEO, Jay Jackson, for our closing comments.
Jay Jackson: Thanks, Bill. To sum up, we believe Abacus Life is well positioned to capitalize on a large market opportunity within a dynamic sector today. Very few other business models offer 20 years of consistent net income, a $230 billion plus and growing target market in new growth opportunities such as ABL Wealth and ABL Tech. We are proud to be a growth company that has generated consistent long-term profitability. I'd like to thank you all for joining us today, and we appreciate your interest in Abacus Life. We will now field any questions.
Operator: Thank you. At this time we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Wilma Burdis with Raymond James. Please proceed with your question.
Wilma Burdis: Good morning, everyone. Could you talk a little bit about how much you currently bought back under your primary carrier relationship? Thank you.
Jay Jackson: Thank you Wilma. Great to hear from you. The specifics on the dollar amount that we're working with on the carrier buyback program is not an actual figure that we're putting out publicly at this point just due to confidentiality in relationship to see their reported earnings as well. So, what I can tell you is that it's ongoing, it’s been increasing and we look forward to continuing to grow that relationship and many more.
Wilma Burdis: Okay, thank you. And then, could you talk a little about the IRRs of the business you booked in 1Q 2024? And the volumes you could have generated at various IRR levels? Thank you.
Jay Jackson: Thank you, Wilma. The IRRs that we're typically generating, I -- the way that I like to look at it is, I go right through our ROE [ph]. So if you look at our return on equity in Q1, it was at 16% and it goes around 15%, which is in line with where we're forecasting [ph] -- when we price and purchase any of these policies, that's very much in line with where we price them at. So, we haven't seen any significant degradation in returns relative to any of the policies that we're purchasing at this point. I think that from our position, the opportunity continues to grow. We're seeing more policies come through our platform than we have the capital to purchase. So we're always continuing to seek and look for stronger sources of capital so that we can continue to purchase all of the policies that our platform is generating versus sending those directly to third-parties.
Wilma Burdis: Thank you. And one last one and then I'll requeue. But could you provide an update on the mutual fund launch? Thanks.
Jay Jackson: Sure. We have filed for a 40-Act [ph] mutual fund and interval fund. That process is still happening. We're making significant progress and educating the SEC on our industry and our asset, this would be the first type of fund that the SEC has approved in this specific asset for that particular structure. So, we're very confident based upon the progress that we're currently making and we fully expect that product to be out in 2024. But in the meantime, we're also having a lot of success with our GP/LP [ph] products that we continue to raise capital for on a monthly basis. And that is a yield based product and you can see that reflected inside the balance sheet.
Operator: [Operator Instructions] Our next question comes from line of Andrew Kligerman with TD Securities. Please proceed with your question.
Andrew Kligerman: Good morning. The first question is around origination capital deployed; $3.3 million. And I think Jay it’s probably like the low seasonal quarter is 1Q; it kind of picks up in the second half of the year. But the question is around the pipeline. Could you put to work a lot more than that? How much growth do you see in putting origination capital to work?
Jay Jackson: Sure. Thank you, Andrew. Great to hear from you. The pipeline for us is quite strong, falling in line with historical -- and I think you're very astute to pick up from, if you look at 2023 and the numbers that we had put out; you start to see this progression as the calendar year progresses. And so, we feel that when we look at the second quarter and where we are in origination position; I think one indicator is that the number that we put out -- even though you saw that the origination capital deployed was relatively flat, the number of policies was up. And in addition to that, we saw a significant increase in our direct-to-consumer channel, up nearly 59%, which is to me an indication of the work that we're putting into our advertising. As we said in the fourth quarter, we increased our advertising spending in the fourth quarter of 2023 by almost $2 million; and we’re starting to see some of the results of that certainly in the first quarter, and we believe that will continue into the second and throughout the year.
Andrew Kligerman: I see. So it sounds like there is kind of a growing emphasis on that direct-to-consumer; would that be right?
Jay Jackson: I think it's a growing emphasis on education across the board, right. Focusing on consumers and what we reference there is, you know, we're advertising on channels that would include both policyholders, as well as financial professionals. A big target of our advertising are in stations like CNBC, Fox Business, where traditionally you'll see financial professionals be the primary audience, and then with core news media outlets in the afternoon and evening. I think that it's starting to have a significant impact across the board. But first and foremost, most people still aren't aware that this financial option even exists for them, and in that advertising effort we’re able to actually help improve those numbers and you're starting to see some of the results of that.
Andrew Kligerman: If I could sneak one or two more quick questions in. Just general in admin, and $11.3 million. I guess if I took out the stock-based comp which could kind of be a little bit lumpy. And then maybe the $800,000 of public company expense; seems like that's going to be normal. But what's the good run rate for genuine admin expenses in terms of trying to model that?
Bill McCauley: Hi Andrew, it’s Bill. Thanks for the question. I think to your point, if you were to take out the stock-based compensation which was running through the total operating expenses of about $5.8 million. And then if you take out the depreciation and amortization as well, I think when you remove those two large items, that gives you a good run rate of what you would expect. I guess the one caveat I would put in there is that, as we continue to see -- or if we continue to see pipeline and origination growth throughout the year, we've increased staffing in order to accommodate that.
Andrew Kligerman: I see. And you envision that staffing will grow significantly as the year progresses?
Bill McCauley: Not significantly but I would expect that as originations increase, and the investor by the carrier buyback program continues to increase as well that we would add some staffing but not significantly.
Andrew Kligerman: Got it. Thanks so much.
Operator: Thank you. Our next question comes from the line of Matthew Howlett with B. Riley Securities. Please proceed with your question.
Matthew Howlett: Thanks for taking my question. Look, I mean, congratulations on a terrific quarter. The act of management revenue, I was just -- very strong again this quarter, very consistent with last quarter. Just diving a little deeper into it; was there anything in terms of the policies you sold to third-parties or that would -- what you held -- anything just different in the quarter? Any update on margins? And I want to ask you about holding these things clearly have long-term much better IRRs and just flipping them. So talk to me about what you're finding in value? How many you want to hold and so forth? But just a little update on margins, what you sold in the quarter so forth?
Jay Jackson: Sure. I’ll start and Bill will probably weigh in a little bit too. Thanks for the question, Matt. On the margin basis, there wasn't anything really out of the ordinary with the exception that we did have some larger trading, specifically back to some of our carriers. And as we saw that increase occur, you know that certainly improves margins but what it also does is, it goes to your other question which is in relationship to how much we would hold. So if we're selling back to, let's say a carrier, we're going to sell that paper and not going to hold that on our balance sheet, while the other ones we might hold on our balance sheet for a little bit longer. I think the way to think about our business on a go forward basis is, our intent is to remain balance sheet light and keep a larger percentage of those policies what I would say is an active management; meaning that they're in motion and realizing those returns with some of what we would deem [ph]. Our best idea is to let those mature a little bit longer rather than sticking to where we are today on an average hold of under six months to potentially being something much longer, around a year or two on some of those better ideas. And I think as we see more capital recycled on the balance sheet, you'll start to see that increase; as the percentage of policies that we hold beyond six months would increase to where they are today. Bill, if you want to add anything to that?
Bill McCauley: No, nothing to add. Just echoing Jay’s comments.
Matthew Howlett: In other words, if you can -- if you can find policies that you can hold a bit longer, they can just really appreciate and then you can turn around to sell them at a much attractive value; [indiscernible] optimizing capitals. I had to think about it [ph]?
Jay Jackson: It is in addition to that. Within the first one to three years of any distribution curve, you're going to have some experiences where you have a few of these policies mature and those would lead to significant multiples and returns ultimately on the balance sheet. And we think that one some cases we should be taking advantage of that versus trading those right away. So, when we think about how we -- how these policies mature a little bit, maybe letting them agencies in a little bit longer gives us a better opportunity to pick up some of the front-end of that distribution curve. But in addition to that, having them accelerate potentially in a better rate of return versus what we would potentially trade it at today.
Matthew Howlett: Otherwise [ph] being equal, the returns of the comp -- the ROE should improve. I mean, that continues to manifest itself.
Jay Jackson: That's correct.
Matthew Howlett: Terrific. And then, I think you added on a little more to that baby bunny [ph] you have out there. The question is, what -- quickly, how fast you turn over your capital and you can trade these things you know, as fast as you want. What's the appetite to take on some more leverage overtime? I mean, it's -- given your unlevered IRR or mid -- at least mid-teens here. I mean, it's clearly very accretive to shareholders that you continue to raise debt capital, especially at 9%, maybe below 9%, right. Can you just comment on when you look at Jay, like -- how you see the balance sheet shaping up? I mean, how much capacity can you just do -- issue debt?
Jay Jackson: Yes. You touched on two issues here; what's our excess capacity, and then what's the best way to finance that excess capacity. The excess capacity that we see on a monthly basis being generated from our platform is as much as 30% to 40% more than what we're currently spending, which means that we have a significant amount of room to deploy more capital. Now the question is how do you best finance that opportunity? Is it done with debt leverage is interesting, where we're certainly taking -- not taking anything off the table. But potentially there could be the opportunity where we used some equity financing, where we don't have the interest carry but at ROEs and the mid-teens and higher [indiscernible], depending on the period; equity financing is also a very appealing option which also addresses more specifically our float and liquidity of the stock. So, I think everyone saw on Friday, there was a public filing where we're considering and looking at that option now.
Matthew Howlett: Right. And some of those warrants could get exercised as that could be capital into the company and so forth. It makes total sense, and we look forward to -- for more capital and more growth in the company. And just one final question, maybe I missed it. I love the radio ads I see on TV Jay; so how much could -- clearly, the marketing is having an impact. Anything that earmark [ph] in terms of what we can expect this year in spend because clearly it's having an impact?
Jay Jackson: Yes. Right now our intent is to continue to increase our spend and do the marketing and continue the marketing in a smart and thoughtful way. We are doing things like -- a little bit different in the sense of adding to that marketing through making an open Investor Day and Longevity Summit where we're bringing in some of the top professionals in the space of lifespan and longevity to really drive that education home that you should be placing a value on your lifespan, and how that value then correlates to the value of the underlying financial products such as your life insurance policy or other financial services that you might have. You've heard me talk frequently about -- in the last two calls about what's happening in our ABL Wealth as we added Fei [ph]. And what's also going to be happening within our ABL Tech division utilizing that lifespan data and mortality verification data to help optimize pension funds and endowments. I think it's going to continue to be a growing sector with what we do. So, our advertising in general is certainly becoming more broad. And right now as we look at our cost of acquisition per customer per lead, we have not gotten to that point where we're starting to see that cost change significantly. What that means is, is that there is a lot of run room here still to do in advertising, and we're still seeing effectively dollar for dollar on the amount of money that we spend in advertising to the success that we have in acquiring new policies, but also potentially gathering new clients within our ABL Wealth channel.
Matthew Howlett: Sorry, what was the name of that summit or that Investor Day? You have that out already, correct?
Jay Jackson: June 13. So, we made that announcement on the call here today. It's going to be here in Orlando. We've got some -- again, some of the top speakers and professionals; we’d love to have you come, Matt, and for those on the call. And that will be a live event, in addition to that we'll have a livestream. So, very exciting and again, broadening this message we expect to have media sources there as well. And it's a type of event that we -- we don't have sponsors, it's just Abacus and we're talking about Abacus’s exciting future as the Investor Day. And then we're talking about how all of this lifespan data can be utilized in educating consumers and financial professionals across the country.
Matthew Howlett: Great. I look forward to attending.
Jay Jackson: Awesome. We look forward to seeing you.
Operator: Thank you. Our next question is a follow-up from the line of Wilma Burdis with Raymond James. Please proceed with your question.
Wilma Burdis: Jay, good morning. And thanks for taking my follow-up. Nice hires in the quarter. Are there any other areas of management you expect to build out going forward? Thanks.
Jay Jackson: Thanks, Wilma. Thank you. And yes, we are very proud of the new hires we have. Both, very successful people who had outstanding careers, and in other firms and honestly, we're grateful to have them join our team. As we continue to expand, we anticipate adding very strategic personnel, particularly in the ABL Wealth channel. When it comes to the life insurance division where we're acquiring policies, as Bill highlighted, we do plan on continuing to expand the underwriting in that division. As those relationships go, we've solved it in our rhythm that helps us understand what -- how much labor we need to meet the increased demand of policy origination as well. So, we do expand that. And then in the ABL Tech side, we're continuing to add coders and other data type folks to that division as well. So, the thing to think about when we're looking at labor in general is that, we added based upon need in potential future growth. So it makes sense to us that would add Elena in our capital market is we’re really taking a look at things like what are some of the strategic partnerships that we could have on a go-forward basis, either through partnership or through acquisition. And then you have Fei who is really taking the lead in our ABL Wealth channel working with RAs [ph] and advisors, educating them on everything that we do, including our financial products.
Wilma Burdis: Okay. Thank you. And then, last one for me. Have there been any additional opportunities to deploy Abacus Tech that you've identified early in the year? And could you talk a little bit about the pipeline going forward for Abacus Tech as well?
Jay Jackson: Sure. Within Abacus Tech or ABL Tech, we are in several -- what they call, test runs, with large pension funds, as well as very large reinsurers and others. As we're entering that asset they want to have more confirmation of the data and those have been very, very successful in some of those initial tests. So we're starting to see that now, we're moving towards full-time sign-ups of those companies. So as this moves, we expect that between now and the end of the year, the ABL Tech revenue could ultimately end up being quite material over the next 12 to 18 months. And so we're very excited about the progression there and the overall market feedback in that division.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Jackson for any final comments.
Jay Jackson: Great. Thank you to everyone. We could not be again, more thrilled and excited about the opportunity and the direction of Abacus, and the future of Abacus highlighted by a strong first quarter and what we expect to be a sustainable and consistent model. We look forward to speaking to you on our next call. And for those who might have any additional questions, please feel free to reach out. Have a great day.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.